Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Ensign Group, Inc. Second Quarter Fiscal Year 2022 Earnings Conference Call. [Operator Instructions]. And with us, Mr. Keetch.
Chad Keetch: Thank you, and welcome, everyone. Thanks for joining us today. We filed our earnings press release yesterday, and it is available on the Investor Relations section of our website at ensigngroup.net. A replay of this call will also be available on our website until 5:00 p.m. Pacific on Friday, September 2, 2022. We want to remind any listeners that may be listening to a replay of this call that all the statements made are as of today, August 2, 2022, and these statements have not been nor will be updated subsequent to today's call.  Also, any forward-looking statements made today are based on management's current expectations, assumptions and beliefs about our business and the environment in which we operate. These statements are subject to risks and uncertainties that could cause our actual results to materially differ from those expressed or implied on today's call. Listeners should not place undue reliance on forward-looking statements and are encouraged to review our SEC filings for a more complete discussion of factors that could impact our results.  Except as required by federal securities laws, Ensign and its affiliates do not undertake to publicly update or revise any forward-looking statements where changes arise as a result of new information, future events, changing circumstances or for any other reason.  In addition, The Ensign Group, Inc. is a holding company with no direct operating assets, employees or revenues. Certain of our wholly owned independent subsidiaries, collectively referred to as the Service Center, provide accounting, payroll, human resources, information technology, legal, risk management and other services to other operating subsidiaries and to Standard Bearer healthcare REIT, our real estate subsidiary, through contractual relationships with these entities. In addition, our wholly owned captive insurance subsidiary provides certain claims made coverage to our operating subsidiaries for general and professional liability as well as for workers' compensation insurance liabilities.  The words Ensign, company, we, our and us refer to The Ensign Group, Inc. and its consolidated subsidiaries. All of our operating subsidiaries, the Service Center, Standard Bearer the Captive insurance company are operated by separate, wholly owned independent entities that have their own management, employees and assets. References herein to the consolidated company and its assets and activities as well as use of words like we, us, our and similar terms are not meant to imply nor should it be construed as meaning that The Ensign Group as direct operating assets, employees or revenue or that any of the subsidiaries are operated by The Ensign Group.  Also, we supplement our GAAP reporting with non-GAAP metrics. When viewed together with our GAAP results, we believe that these measures can provide a more complete understanding of our business, but they should not be relied upon to the exclusion of our GAAP reports. A GAAP to non-GAAP reconciliation is available in yesterday's press release and is available in our Form 10-Q.  And with that, I'll turn the call over to Barry Port, our CEO. Barry?
Barry Port: Thank you, Chad, and thank you for joining us today. Our local teams have once again posted impressive clinical and financial results and continue to build remarkable momentum in each market across our portfolio. Our success is entirely due to the efforts and commitment of those leadership teams and caregivers.  And our most important focus is to support those that care for our patients every day. By applying proven cultural and operational principles, our local leaders continue to retain and recruit high-caliber individuals, which then go on to achieve tremendous success even in the face of extraordinary external challenges. As a result of those efforts, we are pleased to continue to see the impressive improvement in staffing and turnover across almost every geography we serve.  We are confident that by being true to our cultural values and proven operating principles that the near-term and long-term future is brighter than ever.  During the quarter, we experienced continued improvement in occupancies, skilled revenue and managed care revenue, and are proud to report that operators has achieved sequential growth in overall occupancy for the sixth consecutive quarter. We are also pleased by the strong quarter-over-quarter growth in skilled mix days with same-store and transitioning operations combining for skilled mix days of 32% and same-store reaching as skilled mix days of 33%.  In addition, we saw improvements in occupancies with same-store and transitioning occupancy increasing by 1.8% and 6.4%, respectively, over the prior year quarter. We are excited about this continued strength in our occupancies and skilled mix and remain confident that we are on a path that will lead to sustained long-term growth. This is particularly impressive given that it is typical to experience a slowdown during the summer months.  As our operators strive to be the examples of excellence in every market they serve, they also recognize the opportunities to return to certain operating fundamentals, which have been challenging to maintain in the midst of the disruption in the labor markets and the continued lingering impact of the pandemic.  Each operation is constantly looking ahead in forming a detailed customized strategy to thrive even in the face of an evolving reimbursement environment, staffing and challenges and inflationary pressures. Our operating model allows for each operator to independently adjust to the needs of their local markets while also drawing on metrics and insights gained through best practices made possible through our transparent culture, including methods for attracting new health care professionals into our workforce and retaining and developing existing staff.  We continue to benefit from improved Medicaid funding in several states. Recently, the federal government extended the state of emergency to October 2022, which keeps in place many of the regulatory and other forms of assistance helpful to patient care. While we certainly can't know for sure what the COVID future looks like, it is possible that this additional funding may not be extended again.  Given the strength we see in occupancies and the improvement we see in labor, we are raising our annual 2022 earnings guidance to $4.05 to $4.15 per diluted share and annual revenue guidance to $2.96 billion to $3 billion. The new midpoint of this 2022 earnings guidance represents an increase of 13% over 2021 results and 31% higher than our 2020 results.  We again remind you that our model is built for times like these. Our 23-year track record has demonstrated the power of a locally-driven leadership model, which has allowed us to produce consistent results through a variety of challenges, including the most recent pandemic. Regardless of COVID trends, government waivers or political climates, we are confident in our ability to make operational adjustments, take advantage of attractive acquisition environment and lean on our experienced leadership, both in our Service Center and in the field to continue our long-term path of performance.  Our organization is extremely healthy, and our local operational and clinical leadership continues to grow even stronger in spite of these challenges. Our culture and local approach gives us confidence that we can and will continue to innovate and grow this year and beyond. It's important for us to reemphasize to our stakeholders, the real reason for our recent results amid labor market challenges and a global pandemic.  Certainly, what has been accomplished is not coincidental. Our leaders are committed to a core value that the organization calls customer second. To our leaders, this means that they are constantly striving to put the needs of our caregivers ahead of any other priority. They do this because they understand that the best care for our patients is achieved when each operation creates an outstanding and fulfilling experience for our team members.  As one example of living this core value every year, our organization awards a flag to operations that achieve an incredibly high standard of success across every conceivable area in a post-acute operation, which includes over a dozen qualitative, quantitative and cultural categories.  Recipients of this honor must be nearly perfect in every single category for an entire calendar year. When achieved, these operations are celebrated in a way that we believe is a unique expression of gratitude for the outstanding service, but more importantly, the staff in these operations and only the staff, not the administrators or other senior leaders, receive substantial financial rewards for their achievement. It's honor to visit these flag winners every year and attend these celebrations. We are in awe at their level of achievement, particularly given the challenges that they have faced in recent months and years. It is remarkable to be associated with team members who take such pride and ownership in the work that they do and the results they achieved.  Next, I'll ask Chad to discuss our recent growth. Chad?
Chad Keetch: Thank you, Barry. As we expected, we've had a very busy summer so far and are very excited about the 11 new operations we added during the quarter and since. These operations include 2 senior living operations in California, 1 senior living operation in Washington, 6 skilled nursing operations in Texas, 1 skilled nursing operation in Nevada and 1 health care campus in Arizona.  While some of them are located in some of our most mature geographies like Arizona and Texas, others are in relatively new health care markets for us, like Las Vegas. In either case, we have been extra diligent to ensure that each new addition has the full support of healthy local operations, a proven leadership plan and a clear pathway to strong clinical and financial performance. We can't wait to see each of these additions contribute to the success of their clusters and their markets as they implement proven Ensign operational and clinical principles.  In total, Standard Bearer added 6 new real estate operations, all of which will be leased to an Ensign affiliated tenant. And Ensign affiliates entered into 7 new long-term leases with third-party landlords. As this activity illustrates, the ratio between leased and owned will vary depending on the circumstances. We are first and foremost focused on the operational health of acquisitions.  So when it makes sense and pricing is right, we will opportunistically purchase the real estate. At the same time, when attractive long-term leases come our way, we'll sign those too. As we've shown over our 23-year history, there will be many opportunities to do both.  These acquisitions continue to showcase one of Standard Bearer's primary strategies, which is to capture the upside created by Ensign operators and properties that have historically been subject to a long-term lease.  We value the relationships we've shared with many of the owners our facilities assets and are pleased to help them achieve their estate planning goals while simultaneously growing Standard Bearer.  We are always excited to purchase properties we know so well and have operated for years and look forward to more deals like this in the future. We are also excited about e growth we've seen in Standard Bearer so far and also continue to evaluate new opportunities that would include operations that will be run by an Ensign affiliate and some that could be operated by third parties.  Looking forward, we have another busy fall and winter ahead of us and are preparing for even more growth in 2023. As you might expect, the pipeline for our typical turnaround opportunities, including real estate acquisitions and leases is growing. We believe there are many, many operations out there that are struggling and eventually will come to market. In the meantime, we have a handful of new additions that we are working towards closing in the coming months and continue to see new opportunities arise every week. In some cases, particularly larger deals, pricing is still out of whack, but as we demonstrated last quarter, there is still plenty of good opportunities to be had at right prices and the turnaround nature of most deals on the market.  We continue to provide additional disclosure on Standard Bearer, which is now comprised of 101 properties owned by the company and leased to 73 affiliated skilled nursing and senior living operations and 29 senior living operations that are leased to the Pennant Group.  Each of these properties are subject to triple-net long-term leases and generated rental revenue of $17.6 million for the quarter, of which $13.9 million was derived from Ensign affiliated operations. Also for the quarter, Standard Bearer produced $12.1 million in FFO and sits at an EBITDAR to rent coverage ratio of 2.4x as of the end of the quarter.  Lastly, during the quarter, we paid a quarterly cash dividend of $0.055 per share. Given our strength, we plan to continue our 20-year history of paying dividends into the future. We also continue to delever our portfolio, achieving a lease-adjusted net debt-to-EBITDA ratio of 2.0x.  Currently, we have $593 million of available capacity under our line of credit, which when combined with the cash on our balance sheet, gives us nearly $900 million in dry powder for future investments. We also own 106 assets, of which 101 are held by Standard Bearer and 82 of which are owned completely free of debt and are gaining significant value over time, which adds even more liquidity to help with our future growth. And with that, I'll hand the call back over to Barry. Barry?
Barry Port: Thanks, Chad. Next, I'd like to share 2 operational examples today. First, a new facility acquired earlier this year; and second, a same-store operation that has been with the organization for over 2 decades. Both facilities are achieving incredible results as they diligently focus on the daily fundamentals of taking care of their residents and staff and illustrate the organic upside potential inherent in both newly acquired and same-store operations.  The first example, Australia Health and Rehabilitation is a 161 bed facility located in the Phoenix, Arizona Metro area. And it's led by Matt Moylan, who's our Executive Director; and Tony Sandoval, our Director of Nursing and COO. Just 8 months ago, Australia was in desperate straits. Due to clinical and regulatory challenges that had been placed on the CMS special focus list and then fall into a one-star Medicare rating.  The building was also plagued by low occupancy, poor employee morale and a very negative reputation in the health care community. However, following our acquisition on January 1, they took time to get to know the existing employees and discovered that many of them were amazing people who are just simply being underutilized and underappreciated. And many have blossomed into incredibly effective department leaders.  To support them, Matt and Tony have relied on surrounding cluster partner facilities to help support, train and empower the Australia team. while resources from our Service Center have helped the facility implement and fine-tune best practices to improve outcomes and efficiency.  In the first 2 quarters of -- since acquisition, the Australia team has grown occupancy by 12% from 67% to 79% and revenues have also increased by nearly 40%. As you expect, financial results are improving and Australia is already contributing to our EBIT.  At the same time, the team has eliminated nursing registry and improved retention, which in turn has produced clinical gains as validated through internal clinical audits and external inspections. Healthcare Continuum partnership also noticed the improvements and every month, Australia builds stronger and stronger relationships with community referral sources. While much more work remains to be done, the progress already made in Australia, demonstrates the incredible potential, late in many of the facilities we are fortunate enough to acquire.  While acquisitions continue to be an important part of our ongoing growth in coming quarters, our second operational example demonstrates the enormous organic potential for growth that exists in our same-store legacy facilities. Panorama Gardens Nursing and Rehabilitation is a 143-bed skilled nursing operation located near Los Angeles, California.  It was acquired in the year 2000. And since that time, has been a great contributor to the organization and has earned a reputation not only for excellent care, but it's been a great place for caregivers looking for successful careers in health care. For example, Alicia Gamero, the Facilities Executive Director was working as the facility of Mission Director when we purchased Panorama.  She completed her AIT in 2004 and has been leading this facility since that time. Culture of loyalty and commitment at Panoramic stands far beyond just Alicia and her leadership team. In fact, the entire facility is amongst the operations with the lowest turnover rates in our entire organization at just 14%.  And in a time where the entire health care industry is struggling for staff, Panorama Gardens was able to maintain over 98% occupancy for the entire second quarter without using any nursing agency staff. Panorama's ability to care for its employees has allowed the facility to successfully care for its patients and the health care community has taken note. For example, total skilled days have increased by 28% and managed care days have increased by 50% compared to the prior year quarter.  The increased occupancy and skilled mix combined with the Panorama team's relentless focus on eliminating waste and managing fundamentals led to an incredible 56% increase in EBIT over an already very successful Q2 in 2021. It is because of facilities like Australia and Panorama that we feel such optimism about our future. These facilities are at the opposite ends of the maturity spectrum, but both are succeeding by living our tried and true principles and both are finding ways to produce incredible results in the face of significant headwinds.  More importantly, these facilities and many others like them are sharing their ideas, strategies and processes with their cluster partners and the rest of the organization, which allow these best practices to spread quickly and elevate performance everywhere. We hope that these examples are helpful in illustrating some of the many different levers, our local operators are pulling in order to meet the needs of their health care continuum partners.  And with that, I'll turn the time over to Suzanne to provide more detail on the company's financial performance and our guidance, and then we'll open it up for questions. Suzanne?
Suzanne Snapper: Thank you, Barry, and good morning, everyone. Detailed financial statements for the quarter are contained in our 10-Q and press release filed yesterday. Some additional highlights for the quarter include the following: GAAP and adjusted diluted earnings per share were $1.01, an increase of 16.1% and 13.5%, respectively. Consolidated GAAP and adjusted revenues for the quarter were $732.5 million, both with an increase of 14.7%. The GAAP net income was $57.7 million, an increase of 16.7% and adjusted net income was $57.4 million, an increase of 12.9%. Other key metrics as of June 30 include cash and cash equivalents of $285.6 million and cash flow from operations of $130 million.  We also wanted to address the current status of the state of emergency and related reimbursement matters. Recently, HHS extended the Public Health Emergency for another 90 days. With this extension, the federal government will continue to provide various waivers and enhanced FMAP funding up to October 13, 2022. Additionally, as a reminder, the suspension of the 2% sequestration continued through April 1, 2022, at which time the suspension amount was adjusted to 1% through June 30, 2022. Starting July 1, the full 2% sequestration will be back in place.  During the quarter ended June 30, 2022, we've repurchased 271,000 shares of common stock for approximately $20 million, completing the February 2022 stock repurchase program. Given the stock's recent performance, our liquidity and our confidence in near and long-term results, we have established an additional share buyback program of $20 million, and we believe this to be a very healthy use of our capital. As we said before, share buybacks are one of the many levers we have to deploy capital to benefit the shareholders.  As Barry mentioned, we are raising our 2022 annual earnings guidance of $4.05 to $4.15 per diluted share and annual revenue guidance of $2.96 billion to $3 billion. We have evaluated multiple scenarios and based on the strength in our performance and positive momentum we've seen in occupancy and strong skilled mix, we have confidence that we can meet our earnings guidance.  Our 2022 guidance is based on diluted weighted average common shares outstanding of approximately $57.2 million, a tax rate of 25%, the inclusion of acquisitions closed to date, the exclusion of losses associated with start-up operations which are not yet stabilized, the inclusion of management expectations of Medicare and Medicaid reimbursement rates, net of provider tax with the primary exclusions coming from stock-based compensation, a onetime legal funding and the gain of sale of assets.  Additionally, other factors that could impact quarterly performance include variations in reimbursement systems, delays and changes in state budgets, seasonality in occupancy and skilled mix, the influence of the general economy and the census and staffing, the short-term impact of our acquisition activities, variations in insurance accruals, surges in COVID-19 and other factors.  And with that, I'll turn the call back over to Barry. Barry?
Barry Port: Thanks, Suzanne. We want to just reiterate how optimistic we are about the path ahead. Certainly encouraging to see the recent news from CMS on the increased market basket adjustment and the 2-year runway on the parity adjustment. But most of our excitement comes from the strength we see in our operational leadership in the field and the dedicated teams they lead.  Their heroic efforts, along with those of our nurses, therapists and other frontline care providers continue to provide an industry-leading example of life-enriching service to our residents, coworkers and communities. We're also appreciative to our colleagues in the service center who are working tirelessly to support our operations and enabling us to succeed in spite of the challenges we faced. Thank you for making us better every day.  I want to again thank everyone for joining us today and express appreciation to our shareholders and their confidence and support in us. And we'll now turn the time over to the Q&A portion of our call. Andrew, can you please instruct the audience on the Q&A procedure?
Operator: [Operator Instructions]. And our first question comes from the line of Tao Qiu with Stifel.
Tao Qiu: I wanted to ask you about guidance. Based on the finalized Medicare, we will see a 3.4% downtime from the proposed 0.7% cut. You might estimate that's a $6 million impact a quarter or maybe $0.10 on the EPS for the fourth quarter compared to the original deal. And yet, the guidance only went up 3% at the midpoint. Are there any offset I'm missing? Or is it just a reflection of conservatism here?
Suzanne Snapper: So just a reminder with regards to what we did last quarter. So what we did not adjust our guidance downward last quarter or change our guidance last quarter. And so really, what that original guidance had included in it was between a 2% and 2.5% increase related to Medicare.  And so with the final rule coming out at 2.7%, it's pretty close to what we originally estimated in the -- when we established guidance. I think what we said last quarter is if it did go through the way it was looking like it might go through, we'd be at the very low end of the guidance. I mean we thought we could get there because it's just 1 quarter. And so with this additional amount and how it came out, it's very, very close to what we were originally projecting.
Barry Port: Could you get us to the midpoint.
Tao Qiu: Got you. Just a follow-up. In terms of SMAC funding, you received $27 million this quarter. How much did you assume for the rest of the year in the guidance?
Suzanne Snapper: So we assumed another full quarter of it. This quarter was a very, very heavy quarter of additional amounts. Usually, we get between 15 and 17 a quarter. So we assumed another quarter of guidance and then a little bit of trickling from some of the states that we think will go a little bit further into November.
Tao Qiu: Got you. My last question is on the waivers. I think Barry, you talked about various emergency waivers that were still in place. But I think in the 10-Q, you listed 16 various emergency waivers that expired during the quarter, I think, including in-person physician visits and some others. Could you comment on the impact on your business during the quarter? And any additional waivers or maybe the 3-day inpatient rule that are set to expire at some point, whether or not those would pose kind of meaningful operational cost headwinds in the second half?
Barry Port: Yes. So none of the waivers that have expired have really any material impact on our performance whatsoever. The only one that potentially could is the 3-day stay waiver that's really the only one we're focused on. because it is so helpful to patient care, allowing us to skill patients in place when they're diagnosed as positive for COVID. And as we saw recent surges in cases, we've relied on that to be helpful in providing continuity of care. It isn't as material of an impact to our earnings as it once was say, last year, but we still lean on that waiver. I wouldn't suspect that if it went away after third quarter, if it did, that we would have to make any adjustments to our outlook for the remainder of the year, but it might factor in for what things look like next year as we try to kind of guesstimate what impact COVID would have. But it's not as big of an impact even still as it used to be last year.
Operator: And our next question comes from the line of Scott Fidel with Stephens.
Scott Fidel: First question, I guess, just sort of continuing on some of the puts and takes around the updated outlook. Maybe just walk us through with the 11 deals that you've acquired in the second quarter and since. I think they mostly have more of the turnaround type of profile to them where you would be initially taking on the lower margins, but then with a lot of opportunity for accretion and performance improvement over time.  Maybe, Chad, if you could just sort of confirm that type of profile to those deals? And then that handful of deals that you're looking at, that you can close relatively soon, whether that's a similar profile to those deals as well being more of those sort of turnaround opportunities?
Chad Keetch: Yes. Thanks, Scott. This is Chad. Definitely, all of them, we would consider kind of typical Ensign turnaround opportunities. And so with that, typically, they take some time to really start becoming accretive. Sometimes that several months, sometimes that can even get closer to a year, just depends on the transaction. But all 11 this last quarter would fit that criteria.  And then the ones that we're looking at for next year -- or the next quarter would also be considered turnarounds. Clearly, the -- we do expect some benefit on the revenue side but -- and are very excited long term. These will be -- we were extremely selective in picking these 11, even more than usual, I would say. And so we always expect there to be a little bit of a short-term -- certainly excited about them.
Suzanne Snapper: And so when you lost the guide and what we did is really up that revenue amount to [Technical Difficulty] and then just for like onto question talking about a little for the spread between the 2.5% that we're projecting and the 2.7% that ended up at. But knowing that it will continue to have pressure on from those new acquisitions will have pressure on the margins, but then being able to offset that by continuing to do better in agency and labor and other areas for the second half of the year.
Barry Port: And I'll just add too, Scott. These -- as you might imagine, most of these operations are in worse shape than even a typical turnaround given the labor pressures, the use of agency labor, the impact of COVID on census. So as you think about these operations, and as Chad mentioned, being typical Ensign turnarounds, they very much are.  I mean, historically, some of these might have -- we might have been able to turn the dial a little faster and get them to be accretive sooner. I think we look at most of these now that we're acquiring as ones that will meet that normal time frame of several quarters to turn and become accretive to our earnings.
Scott Fidel: Okay. Got it. And then a second question, CMS has been pretty active over the last, let's call it, 3 to 6 months and dropping these different sort of proposals or considerations around implementing new mandates around staffing and operational requirements for skilled nursing facilities. Frankly, there seems to be so much of this paper, I stopped even reading, a lot of it.  So just interested from that perspective, I'm sure you guys have been reading all of it, and I think CMS is still soliciting feedback right on a number of these proposals and not yet implementing them. But if CMS does decide to move forward, maybe talk about what type of impact that may have to Ensign and then to the broader industry?
Barry Port: It's a great question. And then we are thankful to have a health care advocacy organization in ACO that is very active and very connected with CMS on these initiatives. And we participate fully in the various committees that provide feedback to CMS through this group. And as you might expect, Scott, there isn't a lot of clarity, just a lot of talk at this point. And while the initiative is kind of in place to look at a staffing minimum, it's not something we lose a lot of sleep over, mostly because, one, we're a fairly high acuity organization that is, I would say, fairly atypical of the rest of the industry, and we staff at a pretty aggressive level already. But number two, I think in the end, CMS tends to generally be pretty reasonable in accepting the feedback that is being provided.  And I think given the track record of success that ACO has had even as seen in this recent change to the market basket increase and also the 2-year runway on the parity adjustment that there'll be continue to be successful in making sure that whatever mandates going into affect a reasonable the industry and acceptable to the whole. So that's not completely answering your question, I know, Scott, but we're not too terribly worried about what that will end up looking like in the end, mostly because we feel like we've got a seat at the table.
Scott Fidel: Understood. And then just my last question. So it certainly sounds like your tone around labor has sort of really reached a bit of an inflection point here in terms of feeling like some of the headwinds have probably peaked in, now there's more opportunity ahead for improvement. Are there any stats that you'd be willing to share with us maybe around contract labor or sort of hiring and turnover improvement sequentially that you sort of exemplify what you're seeing? And then how are you sort of thinking about continued improvement into the back half of the year? And that's it for me.
Barry Port: Yes. Yes. I mean, certainly, it's kind of hard to predict how the labor will -- the challenges will continue or at least how long they will last. But we try to -- we obviously track dozens and dozens of statistics around labor. We certainly look at what wages are doing. But more importantly, as we try to focus on measures that are helpful to us and engaging both our success, but also showing us levers that we can pull now to be successful in a managing labor.  Two, in particular that I would point to are one, agency staffing, which is obviously very expensive and detrimental to patient care. We've seen another month of improvement in agency usage going down. And that's, I think, 5 months in a row or so that we've seen that happen, between the first quarter and second quarter. And when you're talking about agency spend in terms of whole dollars, we saw a 4% decline in that utilization, which is great.  The other metric we focus on, obviously, and we don't really put out kind of consolidated numbers on this, but our turnover, and I'll speak generally to that. Our turnover for the industry is already lower than our peers by ways. But what's most important in an environment where we're seeing, as published recently in a recent report that I think ACO put out there a 25% increase in turnover compared -- this year compared to last year, we've actually seen an improvement in turnover when we look at our annualized run rate compared to what our turnover was last year.  So those two metrics, Scott, to us, give us a lot of hope for where we're headed. Certainly, wages are higher, and that's expected. But as reimbursement adjusts around that -- when we look at what we can control, we feel pretty optimistic about the path ahead.
Operator: And our next question comes from the line of Ben Hendrix with RBC Capital Markets.
Benjamin Hendrix: A couple of quick questions. One on the bed count in -- for the skilled nursing beds in your Q, it looks like the net adds were 36 beds from first quarter, same quarter despite some pretty strong acquisition activity. I just wanted to know if there were some consolidations in there or if it was a timing issue? Or what kind of reconciles that kind of 36-bed net increase from first quarter to second quarter?
Suzanne Snapper: So really, most of the acquisitions happened in July and August. And so if you look at last date, most acquisitions are subsequent to the quarter. So when you heard the numbers in the prepared remarks, and those were acquisitions that were July and August acquisitions.
Benjamin Hendrix: Got you. That makes sense. And then last with regard to seasonality, given that your occupancy and skilled strength have been outperforming your typical seasonal trends, I think, into the summer months, are there any thoughts you can offer on how we should think about cadence through the second half? Or any difference from typical patterns that we should note?
Barry Port: Look, I think if we can hold our rate of growth through the summer, obviously, I think fall and winter are typically our strongest months in terms of occupancy. So we would hope to only build from where we end up through the end of this third quarter if we can maintain our growth rate. . So again, I think like we've mentioned before, we almost always see occupancy slow in the second quarter. In fact, I can't remember a quarter where that didn't happen for us besides last summer. And thankfully, this summer, the trend was the same as last year. So I think that just points to, Ben, the optimism we see and are kind of rebuilding back to our pre-COVID occupancy, which doesn't seem too far off at this point.
Operator: And I'm showing no further questions at this time. So with that, I'll hand the call back over to CEO, Barry Port, for any closing remarks.